Operator: Welcome to the Safran Full Year 2025 Results. At this time, I would like to turn the conference over to your host, Olivier Andries, Safran CEO; and Pascal Bantegnie, Group CFO. Mr. Andries, please go ahead.
Olivier Andriès: Good morning, everyone. Thank you for joining us. Today, we will review our 2025 results, share our 2026 outlook and briefly walk you through some of our updated 2028 assumptions. 2025 was an outstanding year for Safran. Airlines carried more than 5 billion passengers and against that backdrop of strong demand and still low retirement levels, our aftermarket activities clearly outperformed expectation across both spare parts and services. We have also reached an all-time high in LEAP production, delivering more than 1,800 engines, up 28% versus 2024. Defense and Space had a particularly strong year as well. In military propulsion, we accelerated M88 production, and we have secured a new Rafale export contract with the Indian Navy. In defense electronics, order intake reached a record level with 1.6 book-to-bill ratio, reflecting very strong market demand. We have also signed several strategic partnerships, expanded capacity across multiple product lines, and we have achieved the first major export success for Safran.AI, which is a new name we have given to the Preligens company we had acquired 18 months ago. In Aircraft Interiors, [ recent ] seats, commercial wins and improved pricing conditions confirmed that the strategic shift presented at our last Capital Market Day is being executed. Overall, we outperformed our initial expectation in 2025, delivering record financial results across all metrics. This, despite tariffs. Margin improved by 150 basis points and cash generation approached EUR 4 billion. Reflecting this performance, we are proposing a EUR 3.35 dividend per share, up 16% year-on-year. Finally, on portfolio management, the integration of Collins actuation activities is progressing well. At the same time, we are moving ahead with the divestment of 2 non-core activities, the sale of Safran passenger innovation was completed last month, and the easier transaction where we are going to sell our share of the joint venture to our partner Embraer is expected to close by midyear. Turning to Slide 4. Civil business highlights. We invest to secure [indiscernible] and you can see that clearly in our recent industrial announcement with the new LEAP-1A assembly line in Morocco. At the same time, we are continuing to expand our MRO footprint following the groundbreaking of our LEAP MRO shop in Morocco. We have recently inaugurated Safran's largest LEAP engine MRO center worldwide in India. We are also pleased to mark another important milestone in CFM's long-standing partnership with Ryanair. We announced that 3 days ago, of a new material service agreement that covers the entire fleet of around 2,000 engines, CFM56 and LEAP, and that will support 2 new Ryanair future maintenance, repair and overall shops that they have decided to launch in Europe. This is a compelling illustration of our open MRO market strategy we presented at our last Capital Market Day. Commercial momentum remains very strong. LEAP continues to be the engine of choice, as illustrated by the recent agreement with Pegasus in Turkey, for 300 LEAP-1B engines, which also includes long-term maintenance services. Finally, at the Dubai Airshow, Riyadh Air ordered 120 LEAP-1A engines to launch its FA21 neo fleet and selected our wheels and electric carbon brakes for its 787 fleet, ultimately more than 70 aircraft. We have also announced a joint cooperation with Emirates to manufacture and assemble seats in Dubai. And Safran Seats was selected to supply new business and economy class seats to retrofit more than 100 additional aircraft across both the 777 and A380 fleets. Turning to Slide 5. Momentum remains extraordinary strong in defense. We announced the groundbreaking of the first M88 MRO shop outside of France in Hyderabad, India. At the same time, as we continue to ramp up M88 production. We have also announced a significant investment at our Le Creusot site in France, adding new production lines for complex rotating parts for the M88 engine. We have also signed an agreement with Bharat Electronics in India to create a joint venture to manufacture our HAMMER guided bombs. Overall, in 2025, we have approved around EUR 1.4 billion of industrial investment, mainly to expand massively capacity across both Civil Aerospace and Defense. With that, I will now hand over to Pascal to walk you through the 2025 results in more detail.
Pascal Bantegnie: Thank you, Olivier. Good morning, everyone. Today, I'll walk you through the adjusted accounts, and you'll find a bridge to the consolidated statements in the appendix. Let's start with FX trends, which are shown on Slide 7. In 2025, our trading floor faced a really volatile environment. The dollar weakened against the euro, the whole year, which wasn't easy to manage. Still, our team did a great job protecting the portfolio, and we managed not to trigger any KO barriers. That said, at the end of Jan, the euro-dollar shot up past 120, and that caused us to lose less than $1 billion in hedging volume, so less than 2% of the whole portfolio. We reinstated the same hedge volume afterwards so that did not impact our goal of reaching $112 in 2026. Based on the actual figures for 2025 and to reflect our revenue profile now that we include the actuation and flight control business, we have increased our expected exposure to $16 billion in 2026 and $17 billion from 2027 onwards. As always, these number should not be seen as a medium-term business outlook. We are confirming the $112 hedge rate for 2026, and we'll do our best to secure that rate for '27 and '28. We've also started hedging for 2029. And as a first indication, we are targeting a hedge rate between $1.12 and $1.14 based on current market conditions. Now if we look at Slide 8, our 2025 revenue came in at EUR 31.3 billion. It's EUR 4 billion higher than last year, which is up 14.7%. That's actually 14.8% organic growth, and we saw steady growth quarter-after-quarter throughout the year. OE sales went up by 11.3%, thanks to both higher volumes and better pricing. Services revenue was up 18%, showing just how strong airline demand was for MRO and spare parts. Changes in scope added a positive 3%, mainly because we brought in the actuation and flight control business, but the boost from this acquisition was completely offset by a weaker dollar, which dragged things down by 3.2%. Our recurring operating income reached EUR 5.2 billion, so that's more than EUR 1 billion higher than last year. The operating margin was also up by 150 basis points, hitting 16.6% of sales. The solid performance was mainly driven by strong results in the aftermarket, volume growth and our continued focus on operational excellence and keeping Safran competitive even in such a sweet environment. If we move to Slide 9, you'll see a summary of the income statement. Apart from sales and EBIT, which I'll get into in more detail later on, let's look at some of the other key P&L items. We had one-off items totaling EUR 479 million, which is a pretty big number. So most of that is in cash. About half comes from the EUR 244 million pretax capital loss tied to the divestment of Safran Passenger Innovations. There's also EUR 178 million in impairment charges on some programs and then a few other cash costs like restructuring and M&A expenses, especially from the actuation and flight control acquisition. Looking at financial income, our returns on cash investments actually topped our cost of debt, bringing in a net EUR 116 million in financial interest. Our apparent tax rate was 32.3%, which was heavily influenced by the French corporate surtax, EUR 370 million, which cut around EUR 0.90 per share of our EPS. All in all, net income attributable to the parent was EUR 3.2 billion, up 3% year-over-year, and that works out to EUR 7.6 per share. Let's dive into our businesses, starting with Slide 10 on Propulsion. Revenue here reached EUR 15.7 billion, which is a 17.6% organic increase. When we look at Propulsion services, revenue was up 21% organically. For the Civil aftermarket, spare parts sales climbed 18%, mainly thanks to the CFM56. That drove more shop visits, mid-single-digit growth and a higher proportion of full work scope shop visits. High thrust engines also did well, helped by growing wide-body traffic. LEAP engines contributed too, with third-party shop visits making up about 15% of total shop visits in 2025. We saw a 30% jump in services overall, mostly because LEAP aftermarket activities expanded under rate per flight hour contracts. Both helicopter turbines and military engines also helped drive propulsion services growth. On the OE side, revenue grew by 12% organically. We delivered a record 1,802 LEAP engines. So that's 28% growth compared to 2024 and well above our initial target. In Q4 alone, we delivered 562 engines, up 49% from Q4 last year. So we have surpassed 500 deliveries for 2 straight quarters now, which looks good for our 2026 goals. While M88 fighter engine deliveries were down year-over-year, production actually ramped up a lot in 2025, just as we had planned to keep up with a strong backlog, especially for export customers. Recurring operating income was EUR 3.6 billion, 28% organic growth. The operating margin stood at 23% of revenue, up 2.4 points, which is a strong result and almost aligned with our initial guidance earlier in the year, even with some lingering tariff impact. This improvement was mainly driven by strong civil aftermarket activity and really robust performance from CFM56, both in volume and work scope. The LEAP program also contributed with us starting to recognize profits on LEAP-1A RPFH contract and a still high ratio of spare engines. Let's now move to Slide 11 and talk about Equipment & Defense. Sales here is EUR 12.3 billion, which is up 11% organically and 16% overall. That includes about EUR 618 million from the Collins actuation and flight control business, which we consolidated for 5 months in 2025. OE revenue was up 11% organically with growth pretty much across the board. The strong performance in 2025 was mainly driven by higher volumes in defense, especially for things like the HAMMER-guided bomb, missile seekers and navigation and timing systems. We also saw good momentum in primary electrical system and wiring as well as nacelles and landing gears, especially for the A320. Aftermarket services benefited from the uptick in air traffic, going up by 12% organically with growth everywhere, but especially in landing gears, nacelles and evacuation slide systems. Recurring operating income came in at EUR 1.6 billion, and our operating margin improved by 50 basis points or 90 basis points if you exclude Collins, showing that we are making steady progress toward our 15% margin goal for 2028. The strong performance was driven by a favorable business mix and our efforts to stay competitive. OE volume growth was especially robust for narrow-body platforms as well as in avionics, defense and space. Services also did well with strong demand for carbon brakes, landing gear, nacelles and aero systems. One quick side note. As of Jan 1, 2026, Safran Ventilation System will move from Aircraft Interiors to Equipment & Defense, so we can create more synergies with our power electrical business. SVS is a profitable business. It brings in a double-digit operating margin with revenue slightly under EUR 200 million. Finally, looking at Slide 12. Aircraft Interiors continued to make real progress on its turnaround. Sales reached EUR 3.3 billion, including Safran Passenger Innovations, our IFE business, which is a 14% increase and actually bring us back to 2019 levels. OE sales went up by 15%, mostly thanks to higher deliveries in cabin, especially galleys, inserts and water and waste system for A320 and 737. Revenue also got a boost from our IFE activity as well as from higher volumes and better pricing on business class seats. Services were up 13%, mainly on the back of demand for Cabin spare parts, especially from customers in the Middle East, Asia and the Americas as well as from SVS, which I mentioned earlier, will transfer over to Equipment and Defense in 2026. Seats also did well, both with spare parts and services and passenger innovations helped out on spare parts and repairs. Recurring operating income crossed EUR 100 million with operating margin up 2.3 points. Cabin kept capitalizing on shifting production to best cost countries like Mexico, the Czech Republic and Tunisia and also on renegotiating prices for the lower-margin programs. IFE activities helped lift profits overall and seats kept improving, thanks to ongoing work on pricing and operational excellence. The strong performance really shows our focus on pass-through and price increases, which helped offset the impact of tariff. The very good news is that Aircraft Interiors has now reached cash breakeven with a noticeable EUR 140 million improvement just over last year. Now if we look at Slide 13, we generated EUR 3.9 billion in free cash flow, which is up 23%. That gives us an EBIT to cash conversion ratio of 75%. The strong result came from a 17% increase in EBITDA, so higher earnings less an impact from one-off items, along with a positive impact from working capital changes. For the first time since COVID, we managed to reduce inventory DSOs by 9 days. Also, we did increase inventories in dollar to support the ramp-up that was more than made up for by a strong inflow of advanced payments, which were higher than last year, especially thanks to the Rafale orders and other defense programs. We also paid an extra EUR 1 billion in income tax, reflecting our higher taxable income and including the EUR 377 million French corporate surtax. At the same time, we're still investing to support our growth and prepare for the future. Tangible CapEx was just under EUR 1.2 billion, focusing mainly on expanding engine MRO capacity and increasing production, especially for landing gears, smart weapons and resilient P&T systems. On Slide 14, you'll see that Safran ended 2025 net cash positive at pretty much exactly the same level as in 2024, right down to the nearest million. That's actually just a coincidence. This puts us at about 0.3x EBITDA. In line with the capital allocation framework highlighted at our last Capital Market Day, we made organic investment to sustain our growth and prepare for the future for about EUR 1.8 billion in R&D and CapEx as well as inorganic investment for EUR 1.6 billion, the main cash outflow this year being the Collins flight control and actuation system. We also returned EUR 2.6 billion to shareholders with the balance between dividends and buybacks. We also redeemed our OCEANE 2028 bonds early using shares repurchased in 2023 and 2024, which helped cut out on net debt by EUR 0.7 billion. Bottom line, Safran is still completely deleveraged, and we are in a really solid position with a strong balance sheet. For 2025, we are proposing a dividend of EUR 3.35 per share. That's a 16% increase compared to last year, and it does represent a 40% payout based on the adjusted net income, mainly restated from the capital loss from the SPI divestment. This year, as part of the EUR 5 billion share buyback program, we also bought back 5.1 million shares for cancellation, which cost a total EUR 1.3 billion. In December, we went ahead and canceled all shares that were being held for that purpose, so 5.3 million shares in total, resulting in capital ownership accretion of 1.6%. Also, between '24 and '25, we canceled 8.9 million shares, which amounted to EUR 2.1 billion and led to a 2.13% capital ownership accretion. Looking ahead to 2026, we'll keep moving forward with our share buyback program. The first tranche actually started early in mid-Jan. Just before we wrap up this section, let's quickly look at Slide 16. It's a quick reminder of the goals we set for 2025 back in December '21. I'm happy to say that we met or even exceeded all our key targets for 2025, which really shows our commitment to operational excellence and our focus on delivering strong 2-digit profitable growth. Over this period, both our revenue and free cash flow more than doubled, well ahead of our original outlook and EBIT grew even faster, nearly tripling what -- starting from a 10.2% operating margin in 2020 and landing at 16.6% in 2025, close to the middle of our 16% to 18% target. We achieved all this despite facing plenty of challenges, things like inflation, supply chain disruptions, tariff and even the French corporate surtax. So it really highlights how robust our business model is. Now let's take a look at our outlook for 2026 and our ambitions for 2028 to see what's coming next. Olivier, over to you.
Olivier Andriès: Thank you, Pascal. I'm now turning to Slide 18 and our 2026 outlook. We expect to continue the LEAP delivery ramp-up with a further 15% increase. Operating in a still favorable environment, Civil aftermarket should continue to expand with spare parts up mid-teens and services up around 20%. In particular, Q1 should see a strong start in spare parts, helped by an easier comparison base. As a reminder, this outlook excludes Safran Passenger Innovation, which was divested on January 30. In more detail, for 2026, Safran expects revenue up low to mid-teens, recurring operating income between EUR 6.1 billion and EUR 6.2 billion and free cash flow between EUR 4.4 billion and EUR 4.6 billion, including an estimated EUR 470 million impact from the French corporate surtax. Let me now revisit some of the assumptions we shared at our Capital Market Day '24. Starting with LEAP OE on Slide 19. Our Q3 and Q4 delivery performance, more than 500 engines per quarter reinforces our confidence in delivering another 15% increase in 2026 and in reaching around 2,600 engines by 2028. This ramp-up is supported by continued supply chain improvements and the ongoing execution of our resiliency plan. On the performance side, LEAP continues to mature faster than the CFM56. For LEAP-1A, more than 1,450 kits of the new HPT blade have now been produced. This upgrade can more than double time-on-wing in harsh environment, bringing shop visit intervals in line with the CFM56. In parallel, around half of the LEAP-1A fleet is now equipped with the reverse bleed system highlighted at the Capital Market Day 2024, which reduces on-wing fuel nozzle maintenance. And for LEAP-1B, both the reverse bleed system and the HPT blade upgrades are expected to be certified in H1 2026 delivering the same durability improvements to the 737 MAX operators. Continuing with civil aftermarket on Slide 20. We are revising our CFM56 assumptions upward. In line with our partners' comments last July, sustained maintenance, repair and overhaul demand from operators and as a result, very low retirement levels supports a stronger outlook for CFM56 shop visits through 2028. We now expect a plateau of around 2,300 to 2,400 shop visits per year from 2025 to 2028. Compared with our Capital Market Day '24 assumptions, this represents more than 750 additional shop visits over the '25, '28 period. Beyond that, while shop visits are expected to start declining from 2029, we continue to see pricing and work scopes supporting CFM56 revenues through the end of the decade. On LEAP, our assumptions remain largely unchanged. We continue to see strong growth in shop visits with work scopes expanding. And we still expect the share of external shop visits to double from around 15% in 2025 to about 30% by 2030. Moving to Slide 21. The updated assumptions we've just discussed translates into around 15% additional revenue over the period compared with Capital Markets Day '24. As a result, the revenue annual growth between '24 and '25 is now expected to be in the low teens, up from mid- to high single digits at the time of our Capital Market Day '24. Profit growth is expected to follow a similar trajectory. Turning to margin at completion across the LEAP Red per Flight Hour portfolio. Progress has accelerated since our last update. Compared with CMD '24, we have delivered a further 2 points improvement, bringing the total margin increase to around 7 points between 2021 and 2025. This reflects both more favorable terms on new contracts and our continued focus on optimizing existing agreements whenever possible. And just as a reminder, the majority of the profit from the Red per Flight Hour contract portfolio will be recognized after 2030. As a result, on Slide 22, you can see that we are raising our 2028 targets. On revenue, both additional aftermarket activities and the consolidation of actuation support higher growth. We are, therefore, increasing our outlook with 2024 to 2028 revenue compared annual growth now expected to be around 10%. On EBIT, we are raising our 2028 guidance by EUR 1 billion. In propulsion, we are increasing our margin target from the low 20s to 22% to 24% despite tariff and an accelerated OE ramp-up. In Equipment & Defense, we confirm a mid-teens margin in 2028, now including the actuation and flight control activities. In Aircraft Interiors, we now target a high single-digit margin in 2028, which only reflects the divestment of Passenger Innovation and the transfer of Safran Ventilation Systems from Aircraft Interiors to Equipment & Defense. On free cash flow, we now expect an additional EUR 4 billion to EUR 6 billion over '24 to 2028. Despite the higher impact of 2 years of French corporate surtax around EUR 850 million compared to roughly EUR 500 million at Capital Market Day '24 and despite tariff. To conclude, let me briefly highlight a few key priorities. First, we remain fully focused on meeting customer demand while managing the OE ramp-up. We will continue to improve competitiveness and strengthen our industrial resiliency. We will also keep customers flying by providing spare engines, spare parts and by expanding our internal maintenance repair and overhaul network. In parallel, we expect to complete several divestments in 2026 in line with our portfolio pruning strategy. We will pursue our ambitious research and technology road map to prepare for the next single-aisle generation and to drive decarbonization. And finally, we remain firmly focused on our growth trajectory with the objective of increasing operating profit, expanding margin, strengthening cash generation. Thank you for your attention. We are now happy to take your questions.
Operator: [Operator Instructions] We will now take our first question, and this is from Christophe Menard from Deutsche Bank.
Christophe Menard: Congratulations for the results. I had 3 questions. The first one on the cash conversion in 2028. And this is over clearly the '24 to '28 period, the 70% conversion. If I do a back of the envelope calculation, I'm getting the sense that you're probably targeting more conversion of 65% in later years. So is there a phasing on your cash? And is it linked to, for instance, prepayment outflows that we may have in the coming years? I will follow up with the next 2 questions afterwards, if you want.
Pascal Bantegnie: So we upgraded our 2024-2028 cumulative free cash flow guidance to EUR 21 billion. As you rightly said, it could be an EBIT to cash conversion slightly below 70% in the outer years. What I could say is that we have not included yet any impact for 2027 and 2028 from a potential continuation of the French corporate sale tax. It could be EUR 0.5 billion for each year. It's not included in our guidance. At the same time, we have not included any new Rafale advance payments that may come from new contracts, and you can see quite a large one coming in from Asia. So the free cash flow upgrade guidance is coming from upward revision from aftermarket, the upward revision of LEAP engines deliveries as well. When you try to figure out what your EBIT to free cash flow conversion will be, it's all about the working capital expectations. Here, we have put some decrease in our inventory DSOs, as I said during the call, starting in 2025, continuing in 2026 and going forward. Should we deliver more equipment, LEAP or other stuff, then we could be able to have more favorable working cap changes. So we'll see with time. And we have included advanced payments, which are already booked in terms of orders, notably on Rafale.
Christophe Menard: Thank you very much for this. So I understand there is a degree of conservatism as well on this. The 2 other questions. I think you said on the call earlier that you were getting ready for rate 75. You mentioned Morocco. This is all for 2027? Or can you share the time line for rate 75 on your [ end for your ] and the capacity you're putting online. And one quick question on the margin '26 per division. My understanding from what we're seeing on your guidance propulsion maybe -- can we assume that propulsion is more at the high end of the range you gave on your Slide 22?
Olivier Andriès: Christophe, I'm going to answer on rate 75. I'm just saying that we take decision to invest to get prepared for rate 75. It's not up to me to comment when Airbus is going to be ready to reach rate 75 full year. But basically, what I'm telling you is that we are investing for that because we acknowledge that the demand is there for some time. So it's worth investing. That's why we have announced our LEAP assembly line in Morocco. It will help us meet rate 75. This assembly line is going to be ready by '28. And you may see in the future, we may announce future investment also in line with our objective is to meet rate 75 on other equipment as well. So we are just getting prepared. We have to be realistic. It does not happen overnight, but we are getting prepared. We are investing.
Pascal Bantegnie: On your third question about margin per division, when you compute our guidance, you'll see that we continue to expect some margin expansion at group level. We also expect margin expansion at all 3 branches, including propulsion with a starting point, which is 23%. By the way, it's a 2.4% improvement from last year. And a year ago, I told you that we were about to grow our margin by 250 basis points, which we almost did despite tariff. So right, in 2026, we expect to continue to grow our margin in propulsion. The same in Equipment & Defense. It will be a slight improvement in Equipment & Defense because we will have a full year impact of the Collins actuation and Flight Control business, which, as you know, for the time being, is dilutive to our margin. And in Aircraft Interiors, despite the divestment of SPI, Safran Passenger Innovations and the transfer of a profitable business from Aircraft Interiors to Equipment & Defense. And despite that, we will see a decrease in revenues, we still expect to maintain or slightly increase our operating margin in Aircraft Interiors. So all in all, at group level and all branches, we should see some margin expansion in 2026.
Operator: We'll now take the next question. This is from Sam Burgess from Goldman Sachs.
Samuel Burgess: I've got a couple, if I may. Firstly, just on your free cash flow guidance. I mean, given the strength of the upgrade, sort of 30% on previous, can you see yourself accelerating the existing buyback? And just help us think through how you're thinking about capital allocation with that additional cash? And just secondly, in terms of the LEAP orders that you're signing today, can you just help us have some color on how many are going at the moment proportionately to long-term service agreement contracts versus T&M? That would be really helpful.
Pascal Bantegnie: I'll take the first question on the free cash flow upgrade. On capital allocation, there is no need to change our philosophy or policy today because we have a 40% dividend policy -- sorry, 40% payout dividend policy that will remain unchanged for the next years. And as you know, we are executing a EUR 5 billion share buyback program. In 2025, we only executed 1/4 of that. So I would expect to execute another quarter of that program in 2026. We can always decide to speed up or slow down the execution of such a program. But as long as we still have the program into force, there is no reason to change that.
Olivier Andriès: Hello, Sam. On LEAP, especially on support and services contract, we see now a good mix of what we call rate per flight driver contracts and material service agreement where we just provide spare parts and repair solution. And by the way, as I mentioned, the announcement we made 3 days ago with Ryanair is a perfect illustration of that. Ryanair has decided to invest in their own MRO shop, and we have decided to support them to do so in their own ramp-up. And also, we have concluded an agreement whereby for all this period, 15 years or more, we are going to provide spare parts and repair solution to them at negotiated conditions. So you see this is really an illustration of our long-term strategy where we see, let's say, a 50-50 share between flight contracts and, let's say, typical time and material or MSA contracts. It's interesting because in the past, usually only the legacy airlines have their own MRO shop, the Air France-KLM, the Lufthansa, the Delta Airlines. And we see now with this first mover, Ryanair has been -- is the first mover. We see a low-cost carrier investing in their own MRO shop, that's interesting. And for me, this is a trend, an interesting trend. I'm not saying that all of them will do that, but I'm sure we'll see more airlines coming into that kind of play.
Samuel Burgess: I mean just a very quick follow-on from that, if I may. If you in terms of your MRO capacity expansion ambitions on LEAP, does that change at all with that kind of dynamic? And I guess, as a follow-on implications for propulsion margin over the midterm.
Olivier Andriès: No. We -- there is no change. The compass is still the same, meaning that together between both partners, GE and us, basically, we aim at basically having internal LEAP shop visit representing about 50% of the global work. And we incentivize, we make sure basically and we -- yes, we want to favor those airlines and third parties that are jumping in the LEAP MRO. We want it to be an open MRO market. So external shop visits should long term represent 50% of the overall. So we are executing our MRO plan to increase capacity. As we have already said, it's about a EUR 1 billion investment just for maintenance shop, excluding, by the way, repair shop. This is only engine maintenance shop, EUR 1 billion. And basically, the plan is executed as planned. Morocco, India, Mexico, further investment in France and Belgium as well. And I know our partner is on the same path.
Samuel Burgess: Okay. So no change to previous guidance on that.
Operator: We'll now take the next question. This is from Milene Kerner from Barclays.
Milene Kerner: I have 2, please. Olivier, you mentioned that 1,450 durability kits have been produced on the LEAP-1A so far. How do you expect a proportion of Light scope event to involve as the durability kit continues to grow across the rest of your LEAP 1A fleet and then the LEAP-1B. And what does that mean for the medium-term free cash flow trajectory? And then my second question is, as you're exiting now noncore cabin and interior and you're adding targeted defense assets, how should we think about your portfolio in the long term in terms of the mix between commercial and defense?
Olivier Andriès: Milene, I'm not sure I got fully your question on the blades. The fact that part of the fleet is already equipped with those blades basically will just increase the intervals between shop visits. So this will push out for those LEAP engines that are equipped with the new blades, the shop visits are going to be pushed out, which in rate per flight hour contract is a positive for us, in fact, because it increases the maturity of the engines. So when are we going to have a full fleet of LEAP-1A equipped? I don't have a precise answer to that question. We'll start with the LEAP-1B as well. What are the consequences in terms of free cash flow? To be very clear, it's a positive as well because as today, most of our contracts are RPFH contract. Basically, any shop visit, any early shop visit is a spend for us. So maybe, Pascal, you can add comment on that?
Pascal Bantegnie: Yes, I'll give it a try. With time, what matters is the mix between what we call quick turn and full performance restoration shop visit. And the more new HPC blades we have in the fleet, the less quick turns we need in the maintenance shops, meaning that the mix will evolve in a favorable manner in the years to come, which will benefit both EBIT and free cash flow going forward. But it is already in the plan and in our 2028 guidance.
Olivier Andriès: On portfolio management, without entering into detail, I'll just give a tendency that should not surprise you. The tendency is that our Aircraft Interiors exposure should, with time, basically decrease as we are still executing our plan to divest some noncore activities inherited from the ex Zodiac acquisition and a significant part of them being in the Aircraft Interiors activity. So our aircraft interior exposure should reduce should be reduced. And I would say, as we stand ready to seize opportunities and as defense is a strong booster for everybody, if there are some, let's say, opportunities that are just passing by, that could be of interest for us in terms of technology because it's a good complement to what we do. And if it makes sense economically, we are ready and we can be agile and we are ready to jump in. So I would say in terms of tendency, directionally, our defense activity should grow and our Aircraft Interiors activity should be reduced long term.
Operator: We'll now take the next question. This is from Benjamin Heelan, Bank of America.
Benjamin Heelan: And I wanted to ask my first question on supply chain. We haven't actually touched on it a lot on this call yet. Can you talk about what you're seeing across the business? What are you seeing in LEAP? What are you seeing in the equipment business? Where are the challenges? Where are things improving? If you could just provide a bit of an overview in terms of what you're seeing from a supply chain situation, that would be great. Second question is on the propulsion margin, sort of '22 to '24. Could you provide a couple of swing factors within that, right? What's going to cause you to get to '22? What's going to cause you to get to '24? And how should we be thinking about R&D within that as well? I keen to hear that. And then thirdly for me, interesting on the presentation at the back, you've obviously given us guidance on the number of CFM56 shop visits, but you haven't given us any numbers yet on the LEAP. Could you provide a bit of a range in terms of heavy work scopes for LEAP that you're expecting in 2030. And then associated with that, obviously, you talked about the margin at completion of the LEAP improving 7 percentage points. When should we be assuming that the margin that you're booking on LEAP shop visits is going to be comparable to CFM56? How should we think about that?
Olivier Andriès: Ben, many questions. I'll take the supply chain one. Just to say, directionally, we see an improvement of the supply chain. I'm not telling you this is blue sky yet. But we've seen in the course of 2025, let's say, noticeable improvements all across the board, not only on the engine side, but also let's say, the equipment side as well. What are the remaining challenges? They are mostly always more or less the same. It's upstream, I would say. It's about raw materials. It's about forging and casting. And by the way, this is why we have taken the decision at Safran to unlock, let's say, the situation on forging and casting. This is why we've decided to invest in our own casting facility, turbine blade casting facility of our own. We have decided to invest and we are investing in forging. We are the only -- I'm not sure that whether you know that, but we are the only engine manufacturer in the world having forging capacity internally. We are the only one. And we have decided to invest more in forging as well. So we -- basically, we have a strategy to, let's say, unlock the situation and to, how could I say, decrease our dependency or exposure to some big guys that could potentially have a [indiscernible] strategy. Then I would say the one that we are looking at very carefully and for which we have a resiliency plan is relating to rare earth, which is typically one of the areas that has been weaponized by some countries in the frame of those geopolitical tensions. And so on rare earth Basically, we are building stocks. We are also working on some alternative supply chains. I'm not saying that we are going to do that ourselves because this is not it's not our own activity, but we want to make sure that we can find alternative. Again, our compass is not only to continue to work on our competitiveness, but it's also to continue to work on our resiliency.
Pascal Bantegnie: Okay. On your second question about the main drivers for profit margin expansion or decrease in propulsion. So there are many drivers. First, on civil engines, it's all about the number of installed engines and the ramp-up that we have in front of us. You know that the more installed engines we deliver, we have a loss per engine, even though it is reducing per unit, but still it is a loss. Then the spare engines, what we are looking at is the number of spare engines or the ratio between spare engines and the total number of engines being delivered. Today, it's pretty high at low double digits, and it tends towards 10%, 12% for the coming years. So it will be a negative if it goes down. Then it's all about aftermarket. As long as we continue to enjoy from very strong spare part momentum, not only on CFM56, but on the LEAP and IRS engines, it will be a positive. Then it's all about our policy to release profit margin on the LEAP RPFH contracts. As you know, we started to release margin on LEAP-1A RPFH contracts last year. As soon as we introduce the LEAP-1B new HPT blade in H1 this year, we will start to release margin on LEAP-1B contracts as well. As you know, it is capped by construction. We don't intend to release much of the margin before 2030. The good news, as Olivier highlighted in his concluding remarks is that the margin or the expected margin at completion of our book has increased by 7 points from 2021 to 2025. So we have more potential in terms of profit into our books that will be mostly released after 2030. So the name of the game, as you know, for us, is to avoid any dip in margin anytime in a year. This is clearly the target we have together with Olivier. And then one item which is not under our control is tariff. Tariff is given today. We know that we are in a fluid environment to say the least. So that may change one way or the other. Then on your sub question, I'm not sure I got all, but I'll try to answer it. I guess it was related to the long-term propulsion margin. And at some point in time, we are expecting a sunset of our CFM56 spare part business, likely starting in 2029 or 2030. We will have to start to release more profits coming from the LEAP RPFH contracts, but also from the LEAP spare parts activity as well. Olivier commented that we are diverting part of the customers from RPFH to time and material, more conventional spare part sales. Again, the name of the game is to avoid any dip in margin. So today, we have a fixed formula to release our profit. By the way, we have made little progress. I would say the progress rate of our LEAP RPFH contract is very low. It's about 5% today. So the potential is huge in terms of dollar profit for the next decade. So I'm not worried that we will be able to have no dilutive impact in the years to come. I hope it answers your question, Ben. Otherwise, please.
Benjamin Heelan: Yes. No, it does.
Operator: We now take our next question. This is from Chloe Lemarie from Jefferies.
Chloe Lemarie: I have 2, if I may. The first 1 is coming back on the 7 points of improvement in the lead portfolio margin I think, Olivier, you said that the assumption from the CMD were actually largely unchanged in LEAP. So should we assume that it's because that change in portfolio margin will mainly flow through the P&L beyond 2028. The second 1 is on the hedge book. In Q1 last year, Pascal, you commented that you were working on firming up the rate to avoid the knockout activation. Could you maybe share how this has evolved and if we should consider that 2028 is now almost fully firmed up. And on the comments you made on 2029. If spot remains where it currently is, should you be able to build a full coverage for that year within 1.12 to 1.14. Is that how we should understand the comments you made?
Pascal Bantegnie: Yes, as we said, between '21 and '25, we've been able to improve our expected margin at completion of our RPFH book by 7 points. Most of the profits will be released in the next decade. So it has no impact on the short-term '25, '26, '27 profit recognition methodology as we do cap our profit release by construction. So no change. But what I'm saying is that the overall expected profits within our books is even bigger than what it was a year ago. On hedging, FX hedging, as I say, we had faced a weakening of the dollar against the euro across the year. It now stands at $1.18, $1.19 per euro. all our KO barriers are within 121 to 130 or so. So if there is any peak in euro-dollar at any time as we did face at the end of Jan, then there is a risk that we may lose part of our hedging volume. Nevertheless, I'm really confident that we can deliver $112 in '26, in '27 and '28. For 2029, we are starting to hedge our year at $17 billion exposure. Given the current market conditions, the 1.12, $1.14 range seems achievable. Now the risk is that should the euro-dollar moves up again and stands at 125 or 130, there is no magic in what we do with our trading room. It means that with time, we'll see the hedge rate going up and converge to the spot rate. But there is a lag to that phenomenon. So as long as it stays within the current range, below 120, I'm comfortable we will maintain 112 up to 2028.
Operator: We'll now move to the next question. This is from Olivier Brochet from Rothschild.
Olivier Brochet: Two questions from my side, please. Could you elaborate a little bit on the growth that you've experienced in defense in 2025. If you could share numbers on that in equipment. And the second 1 is on wide-body programs. Do you see some risk on volumes there coming from seats or the rest of the cabin in terms of your capacity and the ramp-up point of view, please?
Olivier Andriès: Olivier, Growth in defense, the dynamic has been extremely strong in some key munitions especially we have what we call a guided bomb, which is named Hanwha, which is extremely successful in export markets and is highly demanded at the moment. You may have seen that -- I can confirm you may have seen yesterday that Norway has decided to order hundreds of them, basically that they want to deliver to Ukraine. So these are what we are talking about. So are guided weapons that we manufacture. We have multiplied by 4 our production in the last 3 years. And I believe we will continue to scale up. Another example is our inertial navigation systems where that do equate mainly military equipment, aircraft, helicopters, tanks, ships, submarines, but also artillery. And here as well, the demand is extremely strong, and we believe we are going to multiply our production by probably 3 to 4 as well. Last example I'd like to mention is missile propulsion. We -- we are a missile propulsion designer and producer. And I think we are the only one in Europe to do what we call turbo reactor for missile. We are equipping the Scalp/Storm Shadow cruise missile or the exocet missile, but we are also equipping missiles that are designed and produced by Saab in Sweden or Kongsberg in Norway. And here as well, the demand has grown very massively. So we've just -- we have decided 18 months ago to invest that's EUR 100 million in our facility to multiply our production by 5. So those are examples of the very significant scale-up that we see in defense. On top of that, the demand is high also on optronics. We are a player in portable optronics or onboarded optronics for UAVs, for helicopters, for maritime patrol aircraft. And here as well, the demand is very strong. So all in all, on Defense Electronics it's 1.6 book-to-bill ratio, and I can promise that the book-to-bill ratio in 2026 will be far above 1 again. On seats and widebody, indeed, the demand for -- especially business class seats is extremely strong. And I think it's unprecedented again. And interestingly, it's not only a demand for line fit aircraft, but it's also a strong demand for retrofit aircraft. So basically, we've delivered this year, I think if I remember well, it's 2,600 business class seats, significantly above what we've delivered last year. And the growth is very, very, very strong. So we are going to invest to increase our capacity in business class seats. And this is what we are talking about with Emirates. We are going to build a new assembly line in Dubai for that because -- just to meet the demand. Now we still face -- I mean, we have significantly improved our development process. So today, we deliver on time. We deliver on quality to the airframers and to the airlines. But we are still facing rising expectation on the certification side. We are experiencing also a tighter interpretation of pre-existing rules. So all in all, this -- and this is an industry-wide situation. It's not specific to Safran. But the consequence of that is that, yes, indeed, seats could potentially be a pacing item for the ramp-up of the wide-body aircraft just because of, let's say, the tighter tightening of interpretation of pre-existing certification rules. Is it clear?
Olivier Brochet: Extremely.
Operator: We will now take the next question. This is from Adrien Rabier from Bernstein.
Adrien Rabier: Just 1 follow-up, if you may, on the CFM56, please. Could you explain a little bit on what you expect to happen after 2028, the trajectory for shop visits? And then you mentioned pricing and scope of potentially in time. So any detail you can provide would be very helpful.
Olivier Andriès: Well, I know that the dynamic has evolved in the latter years because, as you know, we were expecting, let's say, the start of what we call the sunset earlier than what we do see today. And this is a consequence of the so-called flying more for longer situation. So it's a dynamic situation. Today, we are very, very confident that the volume of shop visit will remain at this peak of 2,300, 2,400 up to 2028. So how will the dynamic unfold after that is still to be seen. So this is why basically we take a cautious approach there. It's going to be, let's say, it's going to be a combination of how quickly Airbus and Boeing are going to reach their peak rate for, respectively, the A320s and the 737. And they are on a trajectory to, let's say, to go up by then. It's going also to be -- one of the other elements in play is going to be the level of aircraft retirement. And I have to say, in 2025, there has been a very low level of aircraft retirement. We've been -- it's been about 150 aircraft, so more or less the same as in 2024, no change. And therefore, this is not feeling any used part market. So really, it's going to be a combination of traffic growth. The traffic growth in 2025 for the narrowbody has been more than 5% compared to 2024. So is it going to continue at this pace? So this is one entrant. The other entrant is going to be how many new gen aircraft are going to get into the fleet. So how fast are Airbus and Boeing going to be able to reach their peak rate. And the third element is going to be the level of aircraft retirement. So it may well continue for 1 or 2 additional years. It's too early to say. It's really today a question of how this dynamic will unfold.
Operator: And the next question is from Ross Law Morgan Stanley.
Ross Law: So the first one is just a follow-up on portfolio. You've previously spoken about an ambition to divest about 30% of the legacy Zodiac assets. Can you maybe just give us a progress update here? And how much of this target is covered by the recent deals? And when should we expect you to achieve this target? Second question is just a quick one on your 2026 FX assumption for the spot rate at $1.15. And it's been tracking around the 118, 119 mark year-to-date and at present. I'm just wondering why you are assuming $115 and not higher? And then lastly, just on the media article yesterday suggesting you're working on advanced ducted engine as a possible more traditional alternative to RISE for next-gen narrow-body. Are you able to confirm this? And also what it means for RISE and also your R&D outlook?
Olivier Andriès: On portfolio, how do we progress? Let's put it that way. Between Safran Passenger Innovation and EasyAir, we are talking about a revenue of roughly EUR 0.5 billion, more or less, roughly. It's an indication. So how -- what does it mean in terms of percentage of the ex Zodiac portfolio progress? It's a few points, I would say. When we met at the Capital Market Day, basically, we had executed 10% for a target of 30% of the portfolio. I guess I should not -- we should not be far from 15%, but it's indicative. We may come back on that, but it's an indicative number. So there's more to come. We hopefully will progress in 2026. But I will say the obvious. Before launching a process of divesting an asset, we need to make sure that this asset has some kind of appeal to the market. And so this is why we are focused on the performance and economic recovery first. But we are planning to continue to divest, especially in the course of 2026.
Pascal Bantegnie: On your second question about FX, true, we took the assumption of $1.15 per euro on the spot rate just because we built up our 2026 budget at the time, it was at $1.15. So now it's $1.18. So that means a slight negative. It will only impact negatively our revenue base. You know the sensitivity, it's about EUR 100 million, EUR 150 million of sales per cent spot rate. So we'll see with time, we could have chosen 1.20. It would be as long as 115. We'll see at year-end. And then your last question is about the RISE program. RISE is a technology program. We are developing technology bricks, new materials, gearbox, an open fan architecture, hybridization that we leave all options open. So there is nothing new in what you may have seen in some press reports about a ducted engine or an open fan engine.
Olivier Andriès: Yes. I'll say the obvious as well. We are getting prepared to any scenario because at the end of the day, it's going to be an airframer decision to select a given engine architecture. So basically, RISE, as just Pascal has reminded, is a technology program. There's a lot of common bricks that basically we develop whatever the architecture is. And yes, indeed, we are working on an open fan architecture. But again, we need to be prepared to any scenario. We are still very confident that the open fan is, let's say, the most, let's say, rewarding, let's say, configuration in terms of fuel burn. There's, of course, a lot of challenges that we need to meet and need to tick boxes, if you wish, on this technology plan. But again, we need to be prepared to any scenario. So no surprise.
Pascal Bantegnie: We'll take 2 more questions.
Operator: Next question is from the line of Rory Smith, Oxcap.
Unknown Analyst: You've given lots of color on the call so far about narrow-body engines. So that's very helpful. I just had a question on wide-body. Is it fair to assume that there's a similar sort of margin differential between, let's say, timing materials or spare parts versus services under wide-body service contracts, as you mentioned for under LEAP? That's my first question.
Olivier Andriès: To the wide-body, I would say yes, Rory? Yes, indeed. similar.
Unknown Analyst: Brilliant. And then just as a follow-up to that, is there anything you can tell us this morning just about this sort of engine durability issue. I'm not saying it's your component, but anything that you're hearing from your partner there that Boeing talked about on their 4Q call that may be impacting the flight test program for 777X.
Olivier Andriès: Well, I cannot comment on that, Rory. Sorry for that. That is the last question?
Operator: Yes, of course. Last question today is from Ken Herbert RBC CM.
Kenneth Herbert: Two questions, if I could. First, you grew spare parts in civil engines about 18% in '25. The guide is for mid-teens growth this year with looks like basically flattish CFM56 shop visits and some growth on the LEAP. Can you just help dissect that a bit and why the slower growth? Is it anything in underlying assumptions on price or work scope or maybe wide-body versus narrow-body as a first question. And then second, we are starting to hear some concern -- not concerned questions from some of the larger CFM56-7B fleets about maybe lowering engine inventory levels this year as we go through the year. And I'm just curious if you can comment on that, if that's anything you've seen and how we should think about that?
Pascal Bantegnie: Okay. I'll take the first one on spare parts for 2026. So we are guiding to a mid-teens revenue growth. It's driven by the 3 engine families. First one, CFM56, we should see more or less a flattish number of shop visits. So volume is flat. Price will be up. It's still to be agreed with our partner. It will be applicable from 1st of August. We will benefit from last year price increase in the catalog list price, which was mid- to high single digits. And then work scope. W scope should be a positive because as we saw in 2025, we're expecting a higher proportion of full work scope within the total of shop visits. So CFM56 will continue to be a driver. On the IRS engines, as you know, we have a minority stake on the GE engines. And here, we see good positive drivers as well in terms of pricing and volume and work scope on all 3 components. And then on LEAP, we'll continue to grow the number of shop visits for the LEAP, as we say globally from about 15% shop visit per formed by third parties to 30% by 2030 and with a favorable mix over time, meaning less quick turns and more full performance restoration shop visits. So that should benefit as well our guidance for spare parts in 2026. I would like to say right now, then what we will discuss in April, we should have a very strong start in spare parts in Q1 only because we have favorable comparison base. So you should expect a higher number than the mid-teens when we publish our Q1 numbers.
Olivier Andriès: Ken, on your second question, I'm not sure what you are referring to. But what I can say is even if our overall performance has been extremely good on spare parts, especially CFM56 spare parts in the course of 2025. We have been a little bit constrained by some supply chain issues that are getting unlocked. And that's also what is going to be a component to feed 2026. So we see, let's say, supply chain, let's say, some supply chain bottlenecks getting unlocked on CFM56 spare parts as well, and that's going to help us in 2026.
Pascal Bantegnie: Thank you all. Have a good day, and happy Valentine for tomorrow.
Olivier Andriès: Thank you.
Operator: Thank you. This concludes today's conference call. Thank you for participating, and you may now disconnect.